Operator: Good day and thank you for standing by. Welcome to the Concentrix Fiscal Third Quarter 2022 Financial Results Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there'll be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, David Stein, Vice President of Investor Relations. Please go ahead.
David Stein: Thank you, Elizabeth, and good morning. Welcome to the Concentrix third quarter fiscal 2022 earnings call. This call is the property of Concentrix and may not be recorded or rebroadcast without the written permission of Concentrix. This call contains forward-looking statements that address our expected future performance and that, by their nature, address matters that are uncertain. These uncertainties may cause our actual future results to be materially different than those expressed in our forward-looking statements. We do not undertake to update our forward-looking statements as a result of new information or future events or developments. Please refer to yesterday's earnings release and our most recent filings with the SEC for additional information regarding uncertainties that could affect our future financial results. This includes the risk factors provided in our annual report on Form 10-K. Also during the call, we will discuss non-GAAP financial measures, including free cash flow, non-GAAP operating income, adjusted EBITDA and adjusted EPS, as well as adjusted constant currency revenue growth. A reconciliation of these non-GAAP measures is available in the news release and on the Concentrix Investor Relations website under Financials. With me on the call today are Chris Caldwell, our President and Chief Executive Officer; and Andre Valentine, our Chief Financial Officer. Chris will provide a summary of our operating performance and growth strategy, and Andre will cover our financial results and business outlook. Then, we’ll open the call for your questions. Now, I'll turn the call over to Chris.
Chris Caldwell: Thank you very much, David. Good morning, everyone, and welcome to our third quarter earnings call for fiscal 2022. First, several of our regions have dealt with extreme weather over the last few weeks. And I'd like to send our thoughts out to our teams who continue to focus on keeping our staff safe and delivering for our clients, they continue to do an outstanding job.  Now, before digging into our operational results, I want to discuss the economy and changing dynamics with some of our clients as they work to address persistent challenges in the current macro environment. In times like these, our clients need to drive revenue generation, do more with less through automation and retain customers by ensuring the best possible experience. We believe our disruptive and differentiated customer experiences offering uniquely positions us to address these needs holistically.  Our pipeline for new business continues to be strong, and clients who are seeing weakness in their business, we're helping roll them a consolidating work with us. Historically, we have done well in both good and more challenging economic times by helping our clients meet their goals. I remain optimistic that we can achieve our long-term financial objectives. Our culture values being flexible, tenacious and thinking of the success of our clients in all of our actions.  Now turning to our third quarter results. We executed well in the quarter, continuing to deliver solid revenue growth and profit improvements in line with our guide. Reported revenue in the third quarter was $1.58 billion, up 13.1%, including a higher-than-anticipated foreign exchange headwind. On a constant currency basis, revenue increased by 17.3% and organic constant currency was 7.5%. Our third quarter non-GAAP operating income improved to $221 million, growing 22% and adjusted EBITDA increased 20% to $258 million compared with last year. Our non-GAAP earnings per share increased 19% to $2.95 per share compared with $2.49 per share last year. We saw growth across all our strategic verticals in the third quarter despite challenges in the macro environment. Continued supply chain issues and softer growth in volumes compared to earlier in the year weighed somewhat on our revenue from certain clients in a few of our verticals. Our new economy clients made a very positive impact in the quarter. Revenue from new economy clients grew 27% year-over-year to nearly $370 million in the quarter. We continue to benefit from the breadth of our new economy clients, both in terms of verticals and geography. I'm particularly excited that we are closing sizable deals and seeing significant opportunities for growth across our entire business portfolio over the medium and long term. Since our last earnings call, we signed the largest deal that Catalyst has ever signed in its history. A Fortune 100 company launched a rigorous, multistage, nearly year-long process, where Catalyst won over several leading peers. As a key strategic partner, we will enable their digital-first strategy, co-creating the future of their entire digital experience. The significant competitive win underscores the importance of the transformation in digital services that we can now offer through Catalyst and will drive revenue for the next few years starting in Q1 of 2023. Additionally, we have signed a meaningful new outsourcing agreement with a client in our BFSI vertical, again, is a Fortune 100 company. This significant transformation project with a top-tier insurance company to drive a better customer experience, leverage our multi-shore footprint, our scale, commitment to automation, CX technology and analytics capabilities. This project is expected to generate hundreds of millions of dollars in revenue over the next five years. After an extensive and highly competitive process, Concentrix was selected as a client's primary transformation partner. This new win is an example of a client turning to us to transform their customer experience while making more of their cost structure variable. As these two large recent wins demonstrate, our unique end-to-end value proposition provides mission-critical services that sets us apart in the CX digital marketplace and keep our business model resilient. During the quarter, we also signed over 2 dozen new logos. Examples of our wins include a range of new clients in technology, banking/financial services, retail and healthcare. The trend towards vendor consolidation also continues to enable client share growth in our scale accounts. During the quarter, we also welcomed ServiceSource world-class B2B sales capabilities to hit the ground running and integrating quickly with our brand. Organizational structure and go-to-market completed within days of the close. We have very strong cultural alignment with the new B2B team, and we are confident that we'll exceed our year one and aggregate cost synergy target while driving meaningful revenue synergies. We have identified the actions needed to achieve more than $20 million in first year synergies that we set as an expectation when we announced the transaction, and we have started to develop a pipeline of joint opportunities that we believe will exceed our first year sales synergy target. Our strategy to invest in capabilities that allow us to design, build and run the future of CX is making headway. At the end of the third quarter, we had a pipeline of more than $160 million of single-source integrator and operator opportunities combining capabilities of Concentrix Catalyst, operation, our B2B team that we would not have been able to participate in without these investments. From an operating perspective, we continue to deliver exceptional service with record client value attainment scores and staffing metrics that continue to be better than pre-pandemic levels. We remain focused on being the best partner for our clients and adding value to these increased strategic relationships. In terms of hiring new technical talent, staffing to meet Catalyst demands remains a challenge. We are working to take advantage of our global footprint to expand our development capability, including new talent pools in Poland and Costa Rica. Our employee and customer satisfaction scores continue to be positive. Clients rate us highly for innovating the customer journey with technology. This innovation also extends to our internal operations. During the quarter, we launched and developed additional internally developed technology platforms, Connect CX, Quality CX, Recruit CX to further unlock margin expansion. The more technology-infused services we provide to our clients, the stickier our relationships become. While we continue to experience elevated wage inflation, particularly in North America and parts of Europe, we continue to make some good progress on pricing linked to wages and increased automation to drive down our costs. This is evidenced by our healthy margin progression in the third quarter. In terms of work at home, we saw some shifts of our staff back to our sites in the third quarter and feel that we manage these transitions with the best interest of both our staff and clients in mind. At the end of the quarter, about 50% of our staff works from home now. Our continued strong cash generation allowed us to continue our balanced approach to capital allocation. In the quarter, we demonstrated its balance through our accretive acquisition of ServiceSource while returning cash to investors through dividends and stock repurchases. In the third quarter, we paid $13 million in dividends and repurchased approximately $50 million of our stock at an average price of about $136 per share. Consistent with our commitment to disciplined capital deployment and continued prospects for strong free cash flow, we are pleased to raise the quarterly dividend by 10%. This increased quarterly dividend translates to $1.10 per share on an annualized basis. As you can see from our guide, we believe we will close our fiscal year 2022 by achieving the guidance that we laid out at the beginning of the year and with our new wins, we believe we will continue to grow faster than the market. In summary, we're focused on transforming everything CX for our clients and our customers. We're deepening our client relationship and relentlessly innovating with new solutions and expanding into emerging markets, while we selectively pursue strategic acquisitions to drive superior returns for our shareholders. Finally, I'd like to thank our exceptional staff for their commitment to execution, our clients for their trust and our talented Board of Directors for their support and mentorship. With that, I'll turn it over to Andre. Andre?
Andre Valentine: Well, thank you, Chris, and hello, everyone. I'll begin with a look at our financial results for the third quarter and then discuss our business outlook for the fourth quarter.  We delivered solid revenue growth, impressive margin improvement and strong cash generation in the third quarter. Revenue in the third quarter was $1.58 billion, up 13.1% on an as-reported basis. The improvement in reported revenue includes a 4.2% negative impact from foreign currency fluctuations. This higher-than-expected currency impact reflects the further weakening of the euro, the British pound, the Japanese yen and the Australian dollar during the quarter. As a reminder, approximately 1/3 of our revenue is denominated in currencies other than the U.S. dollar.  Adjusted organic constant currency growth was 7.5%. Revenue increased across all of our verticals in the third quarter. On a percentage basis, revenue increases with healthcare clients once again led the way, growing by approximately 26%. Revenue grew 24% in the retail, travel and e-commerce vertical. Our technology and consumer electronics vertical grew 12%. Revenue from banking, financial services and insurance clients grew by 11%. Communications and media client revenues grew 7% in the quarter, with all of that growth driven by the contribution of the Catalyst acquisition. Once again, each of our four strategic verticals grew by 10% or more on an organic constant currency basis in the quarter. Our new economy clients generated strong growth of 27% year-over-year and represented 23% of third quarter revenue. The diverse nature of our new economy clients from a vertical and geographic perspective remains a strength of our business. As discussed in our second quarter earnings call, our year-over-year organic growth in the third quarter continued to be impacted by an approximate 1-point headwind related to programs that moved offshore in Q2 of 2022 earlier than we initially expected. An additional revenue headwind impacting our year-over-year growth in the third quarter was the completion of COVID-specific programs earlier in 2022. While this was included in our expectations, it did amount to a 1-point revenue headwind in the third quarter and will continue to have a similar year-over-year impact through the fourth quarter of 2022. Turning to profitability. Non-GAAP operating income was $221 million in the third quarter compared with $182 million last year. Our non-GAAP operating margin was 14%, up 100 basis points from 13% in the third quarter last year. Adjusted EBITDA was $258 million compared with $215 million in the third quarter of last year. Our adjusted EBITDA margin was 16.4%, up 100 basis points from 15.4% in the third quarter last year. This impressive margin progress reflects profit flow-through on revenue growth with existing and new clients, contributions from Catalyst, productivity improvements and increased pricing, partially offset by investment in new program ramps and wage inflation. Non-GAAP net income in the third quarter was $154 million compared with $132 million last year. Earnings per share were $2.95 on a non-GAAP basis compared to $2.49 last year. GAAP results for the third quarter of 2022 included $42 million of amortization of intangibles, $13 million of expenses related to acquisition and integration, and $10 million of share-based compensation expense. Our GAAP tax rate was 28% in the third quarter, and our non-GAAP tax rate was 27%. These tax rates were a bit higher, primarily due to the geographic mix of our income. We expect our full year GAAP and non-GAAP tax rate to approximate 25%.  Turning to cash flow. Our third quarter cash flow from operations totaled $152 million, and capital expenditures were $26 million. This resulted in free cash flow of $126 million in the quarter. Our cash expenditures impacting free cash flow included $10 million of transaction and integration costs related to the ServiceSource acquisition in the quarter. For the full year, we now expect free cash flow to increase by about $100 million over last year. This will be a bit shy of our long-term target of free cash flow to approximate 85% of non-GAAP net income. Cash transaction and integration expenses related to our acquisitions this year will be the primary reason for this variance. Moving to the balance sheet. At the end of the third quarter, cash and cash equivalents were $176 million and total debt outstanding was $2.4 billion. Net debt was $2.2 billion at the end of the third quarter. In terms of capital deployment, we maintained our balanced approach, including capital return, investing in the business through M&A and debt repayment. During the quarter, we paid a quarterly dividend of $0.25 per share. And as Chris mentioned, our Board has raised our quarterly dividend to $0.275 per share to be paid during the fourth quarter. This increase to our quarterly dividend reflects our financial strength and our confidence in the future. We repurchased 369,000 shares of our stock for approximately $50 million in the third quarter. Repurchases in the third quarter were made at an average price of approximately $136 per share. As of the end of the quarter, we had $367 million remaining on our share repurchase authorization. We also spent $143 million to acquire ServiceSource during the quarter, net of cash acquired. At the end of the third quarter, gross leverage was approximately 2.4x adjusted EBITDA, and net leverage was approximately 2.2x on a trailing four quarters pro forma basis. As we committed at the time of the PK acquisition, we continue to believe that we can reduce our net leverage to under 2x pro forma adjusted EBITDA by the end of the year, barring any additional M&A. We expect to achieve this important goal, notwithstanding our share repurchase activity and our acquisition of ServiceSource. Our liquidity remains strong at more than $1.2 billion, including our $1 billion undrawn line of credit, cash on hand and the additional capacity on our AR securitization, which provides significant financial flexibility for the future.  Now, I'll discuss our business outlook for the fourth quarter. As we mentioned in the earnings release, given the significant exchange rate volatility, we have slightly modified our approach to revenue guidance to focus on constant currency growth rates rather than discrete U.S. dollar values. We believe this provides investors with a clearer view of the underlying performance of our business. For the fourth quarter, we expect organic constant currency revenue growth to approximate 7%. Based on current exchange rates, we also expect an approximately 5-point year-over-year headwind in the fourth quarter. We also expect $175 million in revenue contribution from businesses acquired since the beginning of fiscal 2022. Our profitability expectations for the fourth quarter include non-GAAP operating income exceeding $254 million. This equates to a non-GAAP operating income margin of approximately 15%, an increase of 110 basis points over the prior year. We expect interest expense in the fourth quarter to be approximately $28 million, with an effective tax rate of 24% to 25% and a weighted average diluted share count of approximately 51.5 million shares. Based on these expectations for the fourth quarter, we expect 2022 constant currency organic revenue growth to be approximately 9%. Based on current exchange rates, we also expect this to include an approximately 4-point year-over-year revenue headwind on our reported revenues for the full year of 2022. We expect a net contribution of $486 million in revenues from acquired businesses net of the impact of businesses divested in mid-2021. Our full year profitability expectations include non-GAAP operating income exceeding $890 million. This equates to non-GAAP operating margin of approximately 14%, a 90 basis point improvement over 2021. We expect full year interest expense to be approximately $70 million, an effective tax rate of approximately 25% and a weighted average diluted share count of approximately 51.8 million shares. Our business outlook does not include acquisition-related impacts or transaction and integration costs associated with any future acquisitions. Also not included in the guidance are impacts from future foreign currency fluctuations. In closing, we had another strong quarter of performance with solid revenue growth and impressive margin expansion. We believe our unique customer experience offerings will keep our business resilient through business cycles. Our vision for the future of the business presented at our Investor Day earlier this year is unchanged. This includes faster-than-market growth through 2025 with meaningful margin expansion, strong free cash flow generation and the ability to be a leading consolidator in the space, deleveraging our strong balance sheet. With that, Elizabeth, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Vincent Colicchio with Barrington Research.
Vincent Colicchio : Yes, Chris, nice quarter. What gives you confidence in the -- if I've got the number right, 7% sequential growth in Q4?
Chris Caldwell : So Vince, I mean, clearly, we spent a lot of time working through all of our portfolio, seeing our new wins at what time they'll ramp. We've taken into account with what we've seen from a software perspective from supply chain and volume from clients. And we're obviously 29 days into sort of the quarter. So we're very confident that that's where we're going to land for the rest of Q4.
Vincent Colicchio : It was good to hear that you're seeing some vendor consolidation, some of the things you'd like to see in a challenging environment. Curious, if there's been any slowing in sales cycles?
Chris Caldwell : No, there's actually been no real slowing in sales cycles. What we have noticed is that some larger deals are coming to market. We clearly called out two that we won. Those deals always take longer, but they aren't elongated for the size of the deal that they are. So traditional deals are the same sales cycle, consolidation deals tend to be going through the same sort of traditional sales cycle. The larger deals that are coming in are a bit longer, but again, in traditional timelines for those types of deals. So we see the market for a pipeline perspective and from a deal perspective, honestly, relatively stable and feels quite strong.
Vincent Colicchio : And are you seeing a meaningful increase in the willingness to outsource more work due to cost pressures?
Chris Caldwell : Yes. We are seeing clients -- new prospective clients as well as existing clients having more conversations around how to make more of their cost model variables. And then clearly, you've seen in the news a number of companies who have reduced their force. That work is still being done, still needs to be done and that historically will come to providers like ourselves to pick up some of that, not all of it, but some of that work to get done. And so we still see that continuing on for a couple of quarters and certainly, a number of our sales lead generation discussions come from those discussions.
Vincent Colicchio : And one last one and I'll go back in the queue. Your new economy client base, you had mentioned you're diversified there, very impressive performance. Curious if there's any exposure. I would suppose, overall, there's not much. But how meaningful is the exposure to companies that are reliant on financing?
Chris Caldwell : Yes. In our new economy group, it's very little. It's not -- nothing. We do have a few clients who continue to need to raise funds. But as a percentage of our revenue in that portfolio, it's not meaningful, Vince.
Operator: [Operator Instructions] Our next question comes from the line of Ruplu Bhattacharya with Bank of America.
Ruplu Bhattacharya : My first question, I guess, maybe I'll follow up on the question on new economy clients. Chris, I think what you said was the revenue from new economy clients grew about 27% year-on-year in the quarter. I mean if I just go back historically last couple of quarters, I think the growth rates you've talked about is more in the 40% range. So I mean, did you see any incremental weakness in that growth? How should we think about that? Yes, I mean, 27% is significant growth. I'm not saying that it's not strong growth, but it just seems a decel from prior quarters?
Chris Caldwell : Yes, Ruplu, you are correct. There is a bit of a deceleration. And we've been talking about that for a while, thinking that sort of in the 40s was more elevated. Primarily two things occurred around that. One, you've seen customers in that space kind of cut back on their own spending because of lower volumes, that is part of it. I think also what we're seeing, just in terms of aggressiveness of ramping into net new markets in that space, is also being a little more cautiously done. And so we expect that the new economy clients still to be very robust growth, still be above our sort of corporate average, and we're super happy with sort of the portfolio of the clients we had because you've got to remember, a chunk of our new economy clients are from different regions and not North American based, which provides some diversification of that revenue flow. But we definitely saw some of those things that we expected coming into the third quarter and going into the fourth quarter.
Ruplu Bhattacharya : Okay. Chris, I mean, last quarter, you talked about seeing some customers who maybe because of the macro wanted to pull forward their move offshore, right? And I think you guided $50 million of revenue hit for the full year. Has that trend accelerated? Have you seen -- are you seeing more customers wanting to offshore? And just your thoughts on that going forward?
Chris Caldwell : Yes. Ruplu, great question. That was actually, I think, I believe, in our second quarter, we brought forward, I'll call it, the offshoring revenue to do. As sort of a reminder, the vast majority of that work should have probably started offshore originally, but started onshore primarily because of COVID. And really, we sped it up. And at the time and what we've seen subsequently is that new deals are coming into the shore that they should be delivered from so in sort of the right ratios for the right reasons. And the work that is onshore that we do onshore is there for a specific reason, whether it's a brand promise from the client, whether it's for security or regulations, whatever the case may be. So in our portfolio business, we have seen no additional change in how people are thinking of where to deliver their work from. That effectively we encapsulated in sort of our Q2 timeframe.
Ruplu Bhattacharya : Okay. Maybe one more for you, and then I have a couple for Andre. But you talked about these two large deals. Can you give us some more details? Are these with existing customers you had? Or are these new wins with new customers? And then what type of work is this? And you said it's from the Catalyst business. So I'm assuming that these are more involved, more higher, how should I say it, it's more involved and more in-depth work? And how large are these contracts? And how many years are these contracts for. So any details you can provide would be helpful.
Chris Caldwell : Yes, for sure. So let's start off with the Catalyst win. The Catalyst win was an existing client that we had. We were one of many providers within that client. The client is a Fortune 100 firm. The client went out to approximately like 30 or 40 large, large, large IT digital transformation companies, including incumbents, which we were one of. And their objective was to come down to one or two strategic partners. Their objective was to get better sort of end-to-end management of their application development, application support and sort of strategy around digital execution. And it took almost, gosh, nine months, 10 months that they went through this very exhaustive process, looking at capabilities, looking ability to scale, looking at expertise, looking at security, it is incredibly, incredibly rigorous. And we were the only sort of incumbent to win out of this. They brought in one or two other partners who were smaller, but we became the key strategic partner for this client and are taking over the work of the other people who are in, so if you consider kind of a consolidation play. And we are really driving not only a lot of cleanup in their application stacks and the tech stack, also building out new technology for them, driving more automation for them and more sort of self-service for them. It is tens of millions of dollars, significant, significant deal, and it's a multiyear deal based on what we've signed up for. So extremely, extremely happy about that. Very technical, sort of best-in-class digital transformation capabilities, a significant win for us. The other client that we won within -- since our last earnings call, is more of our traditional operations business. It is a new client to us. It was a many months process business. It is a client who is looking at not only making more of their cost variable because there will be a rebadge component to it, but they're also looking at a transformation element to come into the business and basically drive automation, drive sort of different shoring of work for the business as well as driving analytics and some technology into their business. And so we were picked as their prime transformation partner, and we'll be going and rebadging some of the work and then building out on our global footprint. It is worth hundreds of millions of dollars over the next five years. And clearly, we'd obviously like to extend it past that, but what's signed up for is hundreds of million dollars over the next five years. And it's also a Fortune 100 firm.  Hopefully, that provides you some color on those two opportunities.
Ruplu Bhattacharya : Yes. Thanks for all the detail there, Chris. Andre, I have a couple of questions for you as well. It looks like from the fiscal year guide for operating margin, it looks like it implies about 14% operating margin. As we think about moving forward, do you think that there are more headwinds or tailwinds for margin improvement? Maybe you can talk about like what are some of the drivers that you see for margin growth from there? And then as part of that, if you can talk about the pricing environment. I think you've said in the past that you're trying to drive a better pricing mechanism in terms of more outcomes-based pricing. So just your progress on that? And just how should we think about what are the headwinds and tailwinds for margins over the next couple of quarters?
Andre Valentine : Sure. Good to talk to you, Ruplu. Yes, so we feel really great about the margin expansion we've driven this year. You're right, we're at 14% for the full year guide, 15% in the fourth quarter. The full year guide is up 90 basis points from last year. You'll remember from our Investor Day, we've indicated that our goal for 2025 is to move that margin up to 14.5%. So certainly, we do think there are still more levers for us to pull to continue to move margins up over time. We're not going to update that target at this point. That's still our target for 2025. But here are the things that we think we can do from a margin perspective. Certainly, as you think about some of the two transactions, particularly that Chris talked about, the ability to do more complex transformational things, whether that be in the Catalyst space or in the CX space, that complexity, the introduction of technology, all provide opportunities to increase margins because the value of the work is going up. Certainly, we can also introduce tech, as Chris alluded to, with Recruit CX and the CX quality tool that we're doing to become more productive in what we do internally and drive margins that way. Lastly, as we continue to show strong organic growth we can certainly see leverage in our G&A, and we'll also continue to work, particularly on -- with the recently closed ServiceSource acquisition to get to a full run rate of synergies there. So lots of reasons to believe we can move margins up over time. Yes, the pricing environment really hasn't changed all that much over the last couple of quarters. So two things I will say about it is we have been successful as we have dealt with inflation across the globe, most pronounced in North America and in parts of Europe. We've been very successful in getting price increases over time to keep up with those increases. And that speaks, I think, to the value of the services that we provide to our clients.  You mentioned outcomes-based pricing. I would say still fairly early days in terms of the amount of outcomes-based pricing that's currently in our portfolio. We are seeing more of it coming through in some of our pipeline but it is still not the preponderance of the deals that we see, nor our current set of deals that we're executing on.
Ruplu Bhattacharya : Got it. And then just for my last question, if I can ask you, your thoughts on capital allocation in this environment. I mean how -- I know you've closed on ServiceSource. Is there a lot of integration involved in that? And are you guys open to further M&A versus buying back stock? I know you still have authorization. And I saw that the Board authorized a dividend increase. Just maybe comment on the timing of that, like why now? And just your thoughts on how you would allocate capital going forward. And sorry, another part of that is if you can please talk about CapEx as well, CapEx needs going forward. And thanks for all the details. So I appreciate you taking all my questions.
Andre Valentine : Sure. Happy to. So I'll start with ServiceSource and the integration costs there. If you look at our release, we are suggesting that there will be another $15 million of integration costs to come through in Q4. If you go back to when we announced the deal, we thought that the integration cost would be roughly $44 million over the process, and we think we're in line with that, having spent what we spent in the third quarter, suggesting we'll spend another $15 million in Q4 and then some still to come in probably in the first half of next year. From a capital allocation perspective, our thoughts there really are unchanged. We still continue to view accretive M&A as an important part of our strategy. And so we will continue to look for interesting client sets through M&A, through domain expertise, whether that be in a vertical or a geography and certainly, technology as we think about what we would be interested in, in an M&A perspective. Beyond that, certainly, we're going to continue to generate strong free cash flow. And absent M&A, we'll look to delever. We're still committed to the -- getting under 2x net leverage by the end of this year. That's a commitment we made when we bought PK. At the time, we didn't think we'd be quite as active in share buyback as we have been nor did we know we were going to buy ServiceSource. And yet, we feel good about our cash generation. It's still going to get us under that 2x by the end of the year. As for the dividend, I think it just shows the confidence that we have in the business and our ability to generate free cash flow and to return some capital to shareholders. The timing -- this is the first year anniversary of our initiation of the dividend. And so it seemed like a prudent time to recommend to the Board and get their approval to increase the dividend. That's really the story on that.
Operator: [Operator Instructions] We have a follow-up question from the line of Vincent Colicchio with Barrington Research.
Vincent Colicchio : Yes. Chris, healthcare had a really -- it looks like a really strong growth quarter. It's still a relatively small vertical for you. Thought maybe you'd give us your thoughts on the longer-term outlook here and if this could become one of your bigger verticals ultimately.
Chris Caldwell : Yes. So Vince, healthcare is -- you're correct on all accounts. Healthcare is a very key vertical to us, very strategic. It is growing well. We continue to make investments to continue to grow it. It tends to be a little lumpy from a growth perspective, just as you win kind of deals in that space. And we would like to see it increase its size within our sort of two strategic verticals. But other than that, and kind of the pull forward of how big it could be off the table, just to know that we are focused on growing healthcare as a key strategic vertical for us.
Vincent Colicchio : And then one last one. You had said that in North America and Europe, wages remain elevated. Any signs of green shoots for, lack of a better word, of improvement there or no?
Chris Caldwell : I will tell you, in the last probably quarters become more stable, I guess, is the best way of putting it, where it's probably more predictable than what we're seeing is still sort of elevated areas. But I'll say that the heat of sort of maybe at the beginning of the year is starting to cool off. We're not having any problems meeting our commitments in our sort of operations business in those markets. But we're also sort of being very aggressive in making sure that we're competitive within the marketplace. Probably too early to tell if it's a bigger change than that, but just outside of the heat coming out a little bit.
Operator: Thank you. I would now like to turn the conference back over to Chris Caldwell for closing remarks.
Chris Caldwell : Thank you very much, everybody, for joining us today. We always very much appreciate your interest in Concentrix, and we look forward to talking to you next quarter. Thanks very much, everybody. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.